Operator: Good afternoon and welcome to the AngloGold Ashanti Analyst Conference. All participants will be in listen-only mode. There will be an opportunity to ask questions at the end of today's presentation. [Operator Instructions]. Please also note that this conference is being recorded. I will now turn the conference over to Mr. Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks Priya and welcome everybody to Q1 Operational Update. As you know we’ve moved away from quarterly financial reporting, so please note that these results that you’ll see have not been reviewed by our auditors. I’m going run through the Safe Harbor statement quickly. The call will be briefer than usual. There will be short remarks made by Venkat and Christine Ramon, our CFO, and then we’ll go in to Q&A immediately after that. Certain statements contained in this document, other than statements of historical facts including, without limitation, those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, production, total cash costs, all-in sustaining costs, all-in costs, cost savings and other operating results, productivity improvements, growth prospects and outlook of our operations, individually or in the aggregate, including achievement of project milestones, commencement and completion of commercial operations of certain of our exploration and production projects and the completion of acquisitions, dispositions or joint venture transactions, our liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigations or regulatory proceedings or environmental health and safety issues are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although we believe that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of amongst other factors changes in the economic, social, political and market conditions, success of business and operating initiatives, changes in regulatory environments and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings, and business and operational risk management. For a discussion of these factors, refer to our AngloGold Ashanti’s Annual Reports on Form 20-F filed with the SEC. These factors are not necessarily all of the important factors that could cause our actual results to differ materially from those expressed in any forward-looking statements. Other unknown or unpredictable factors could also have material or adverse effects on future results and consequently you are cautioned not to place undue reliance on these forward-looking statements. We undertake no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after this date hereof or to reflect occurrence of unanticipated events, except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to AngloGold Ashanti or any person acting on its behalf are qualified by the cautionary statements herein. This communication may contain certain non-GAAP financial measures; we use these measures and ratios in managing our business. These measures should be viewed in addition to and not as an alternative for reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies may use. We post important information for investors on our website under the investors tab, you should review that information. Venkat?
Srinivasan Venkatakrishnan: Thank you Stewart. Good morning, afternoon ladies and gentlemen. If I may start the presentation with safety, we saw continued improvement year-on-year from continental Africa, Americas and Australia on the all injury frequency rate with continental Africa in particular finishing the first quarter without a single loss time injury. Whilst we deeply regret to report a fall-off ground related fatality at TauTona at the start of the year, our South African region recorded a relatively better first quarter, when measured by the number of fatal accidents. Mponeng investment and the Vaal River mines achieved 1 million fatality free shift during the quarter. Clearly safety is an area which is receiving continued focus, when it comes to preventative measures, training, systems and behavioral improvements as we strive towards achieving zero harm. Now turning to the highlights of the first quarter, firstly, an important focus over the past three years has been on widening our margins on a sustainable basis. The first quarter 2016 saw the highest margins on all-in sustaining cost for more than three years in this business. Secondly, we generated strong free cash flow of 70 million, as compared to a significant outflow of a year ago, representing a favorable swing of around $110 million. Net debt continued to fall and now stands at $1 billion below its peak level seeing in 2015. Stable production of 861,000 ounces in a seasonally weak quarter with all-in sustaining cost dropping 7% year-on-year to $860 an ounce, and the full year guidance range remaining unchanged. We saw the benefits of a geographically diversified portfolio that offers good leverage to gold prices, currencies and oil come through very well during the quarter. And Christine will elaborate on this further during our presentation. The table which you see on slide 5 compares the year-on-year performance for the first quarters and further demonstrates our continued focus on margin growth, on the back of better quality production. Despite the year-on-year fall in both gold prices and production, our total cash cost fell by 4%, our all-in sustaining costs and all-in costs fell by 7% and 8% respectively. These contributed to a significant positive cash generation, which was applied further to reduce net debt. Now looking at the regional overview; starting with the South African operations, our interventions at Mponeng last year are starting to bear good results, with production up 34% year-over-year. We saw the South African regions all-in sustaining costs get closer to $900 an ounce during the quarter, benefitting from the Rand weakness. On the production side to remind everyone, the first quarter is always the weak quarter, following the Christmas break. Production was therefore relatively flat year-on-year at 236,000 ounces. The quarter took the brunt of five safety related stoppages that cost the region some 21,000 ounces of immediate production and 16,000 ounces of future production from old reserve development. We continue to work with the regulators to help minimize the disruptive impact of such stoppages without compromising the safety of our people and our operations. The region is likely to have a seasonally slow second quarter, also further impacted by the recent seismic event at Savuka. We expect the production to improve in the second half of the year, in line with prior years. Turning to our international operations that produce 625,000 ounces at an all-in sustaining cost of $822 an ounce, all-in sustaining cost improved by 2% despite a year-on-year drop in planned production. When you look at the year-on-year drop in production from continuing operations, they include Obuasi not being in production 16,000, declining production profile at Morila,14,000 ounces, the impact of Tropicana moving in to lower grade areas in accordance with this life of mine plan some 10,000 to 16,000 ounces of which we hope to make up 8,000 ounces later during the year, the unplanned fall in year-on-year production really came from Kibali, around 15,000 ounces, as a result of drop in recoveries from the feeding solely sulphide ore and a [barring] year at the mill. The latter costing over a week production at the quarter end. Rotation circuit and rejoined changes are being affected currently to get the plant back on track during this quarter. The improvement in Americas all-in sustaining cost was marked at 12% year-on-year, assisted by strong cost management, efficiencies and currency weakness. I’ll now you over to Christine to walk you through some of the financial numbers.
Christine Ramon: Thank you Venkat. Moving on slide 8, I’ll focus on margins and being able to do consistent delivery on key metrics. The effects directed to sections under our control are underpinned by cost management, operational excellence, and portfolio improvement has helped mitigate the effect of the falling gold price since the fourth quarter of 2012. We have been able to steadily reduce both our all-in sustaining cost and all-in cost per ounce through this period with all-in sustaining cost reducing by approximately $700 per ounce from the quarterly peak, and all-in cost has been kept are more than $1200 per ounce over the same period. All-in sustaining cost at $860 per ounce for Q1 2016 remains steady with Q4 of 2015 and is the lowest since the fourth quarter of 2012. We remain sensitive to currencies and the oil price, in addition to efficiency improvements; we are also seeing currency benefits over this period, given our geographic exposure across two-thirds of our portfolio, as well as the benefits of the lower oil price, which has assisted with increasing our margins through the cycle. Our all-in sustaining cost margin of 27% was a 3% improvement year-on-year, despite a 3% drop in the gold price. Moving on to slide 9, looking at the cost performance in detail year-on-year, we note that continued efficiencies was key to delivering the improvement in cash cost for the quarter compared to last year, which together with the favorable currency effect helped mitigate inflation, as well as lower volume and grades. All-in sustaining cost per ounce was $60 per ounce lower in Q1 2016, compared to Q1 last year on the back of lower cash cost amounting to $32 per ounce, lower sustaining capital of $13 per ounce, as well as lower corporate and exploration cost. In particular, sustaining CapEx was lower due to favorable currency effect, and that particularly related to both South Africa and [cities] in Argentina, lower spend at Geita and Iduapriem, as well as lower ore reserve development in the South African region due to the safety stoppages. We are expecting sustaining CapEx to increase over the remaining quarters of the year, in line with costing. Here we are maintaining our total capital guidance of $790 million to $850 million for the full year. Moving on to slide 10, our debt reduced further since year-end due to free cash flow generation. Free cash flow improved significantly year-on-year, despite negative working capital movement which should unwind during the course of the year. Lower all-in sustaining costs and lower all-in cost, lower financing cost of about $35 million due to the partial settlement of our high yield bonds, as well as improved cash management within the group, as well as the lower cash requirements arising from the disposal of CC&V improved free cash flow generation year-on-year. We remain within our target net debt-to-adjusted EBITDA ratio of 1.5 times to the cycle with ample headroom to our covenant labels of 3.5 times and we do continue to focus on optimizing free cash flow. We continue to see the balance of the high yield bond as an opportunity from the end of July 2016 onwards. Our strong liquidity, sufficient undrawn facilities and long dated maturities continues to provide the financial flexibility required in the current still volatile environment. Both Moody’s and S&P have recently reaffirmed our credit ratings and revised the outlook to stable from negative on the back of increased credit mix. With that I will hand it back to Venkat to conclude.
Srinivasan Venkatakrishnan: Thank you Christine. To conclude, we have seen another quarter of fairly consistent performance and a quarter where in our margins widened further. We’ve kept our annual guidance unchanged. With a reduced debt levels and improved cash flow, our balance sheet remains robust. Our focus areas for the rest of the year remained the same. To recap, prioritizing free cash flow improvements and margin growth on a sustainable basis, continuing with the recovery seen at our South African operations, restoring law and order at the Obuasi mine, working with the Randgold team to effect the improvements needed at Kibali, and importantly advancing our near to medium term high return brownfields projects. With those comments, I’ll hand you back to Stewart.
Stewart Bailey: Thanks. Priya, we are ready to take questions please.
Operator: [Operator Instructions] Your first question comes from Johan Stein of (inaudible) Bank. Please go ahead.
Unidentified Analyst: We spoke earlier today about it, but maybe if you can just provide a little more color on Obuasi, the situation, and at the operations and also the potential financial risk and a worst case scenario for shareholders and also how the recent developments have influenced your outlook on this mine in a way that you still that this is something that holds long term potential or whether you think you’ve moved closer towards potentially just closing the tap on this mine.
Srinivasan Venkatakrishnan: Johan as I said this morning, we’ve kept all options open. To put it very simply, this was a big setback for us in terms of what happened on illegal mining at Obuasi. We’ve actually worked and tried to work very hard with all levels of the government to return law and order to the mine, particularly given that we have surrendered around close to two-thirds of the area of the mine back to the government to enable them to hand it over potentially to artisanal small scale mining which is regulated. What is not permitted obviously is illegal mining. So when our diplomatic efforts didn’t yield the required results, and we don’t take deficient to take it arbitration likely, we resorted to recost in the International Center for Settlement of Investment Disputes and that matter is ongoing and we’ve got to wait and see what the outcome would be, but certainly, we continue to engage with the government to return law and order so that we can go back in and have a look at what the damage created to the infrastructure and potentially to some of the [AUS] which were there included in our plan to mine would have been. And we can only make a call in.
Unidentified Analyst: And then maybe in terms of capital allocation, your balance sheet is now at the point we previously said your comps targeted. Net debt-to-EBITDA level is below 1.5 times, how does this now influence your view on dividends and do you prioritize dividends at this level over debt reduction or are there any capital projects at this stage that you might say you want to progress at this stage.
Srinivasan Venkatakrishnan: I think as we said repeatedly, dividend is certainly a key component of our investment case and certainly every quarter of positive cash flow gets us closer to that. But let me get Christine to comment on the capital allocation piece. There are certainly one project which we have announced and she’ll touchup on that.
Christine Ramon: I think just to supplement that a bit further, I think we are still focusing on further improving free cash flow generation, and as I mentioned targeting, we see the high yield bond as an opportunity from the end of July onwards, but we’re still keeping all options open in that regard. But I think just if we had to settle the balance of the high yield bond that will free up or improve free cash flow generation by approximately $40 million. So I think certainly going forward, we would have dividend on the agenda and we will see it as part of the capital allocation, but I think we’ll have more line of sight on sustainable free cash flow generation later in the year. And I think Venkat alluded to a particular project that we spoke to last year, which in essence is the Siguiri project, an incremental growth project, and we certainly have accepted that in to the cash flow for the year as well, because that is a project that we will be spending on over the next two years. So we certainly see ourselves self-funding that project.
Operator: The next question comes from Patrick Mann from Deutsche Bank. Please go ahead.
Patrick Mann: Just looking at you guys reiterating the full year guidance, to get to the upper end you’d have to get close to 1 million ounces per quarter. After relatively first quarter start, I’m just trying to see what has to happen for you to get near the top end of your guidance. And the reason I asked the question is because, there’s a couple of projects Geita underground, Star & Comet. Is there project coming on line, is it a turnaround at Kibali, just give us a better sense of that.
Srinivasan Venkatakrishnan: Basically if you look at what’s happened year-on-year in terms of our production profile, generally the first quarter never 25% of our annual guidance when you take the midpoint. It’s always been below that, varies from around 22%-23%. This year is no different to it. In terms of the big moves going out in to the latter part of the year, obviously it’s South Africa. Certainly the improvement is coming from Mponeng and Moab, and TauTona being an integral part of it, let’s hope from Surface. Secondly, moving across the other operations, its Brazil, where we couldn’t get in to one of the high grades stokes which was in level 17 for geo-tech issues which are being addressed and that will actually come through in the latter part of the year, same in relation to some uptick on Tropicana, Sunrise Dam is going as planned, and in addition to that the other uptick comes from Geita in the second half of the year, as underground picks up. And notably is the Kibali turnaround, it does have an important component in terms of our uptick in the production profile. And for those who listened to the Randgold call, Randgold did reach to a fair guidance at 610,000 ounces 100% for the year.
Operator: [Operator Instructions] Your next question comes from David Haughton from CIBC. Please go ahead.
David Haughton: Venkat in your concluding remarks, you mentioned your high return Brownsville projects, would you be able to remind us what those are and what your pecking order is?
Srinivasan Venkatakrishnan: The first one certainly where we’re putting a lot of effort in to is the expansion at Siguiri, where we’re going from off-site material to hard rock and there its putting a combination plant. At Siguiri I’m no talking big funds of capital, it’s around $110 million to $115 million including contingency. We are working through the [digitization] with the government in that regard in terms of getting a stability agreement going out in to the future, and that basically improves the production profile at Siguiri and also extends the mine life at Siguiri, which is quite a prospect to ore body. The second area is the improvements on Sunrise Dam, which Ron talked about in the last quarter and Ron you’re welcome to add details to it, and obviously the data underground, which sees the production profile going out in to the future being maintained. The next area which are looking at in conjunction with IAMGOLD, and there its less of an urgency because we’ve got the off-site material extended until certainly end of next year to early following year. At the sulphide project there we are determining and working with IAMGOLD on what the correct scope of the size of the plant and the infrastructure has to be, and the related capital. Here are some examples here and incremental expansions are on Brazil. In South Africa it hinges on Mponeng below 120 level. Ron anything you want to add on Sunrise?
Ron Largent: Sunrise (inaudible).
David Haughton: Just coming back to Siguiri, to have the Hard Rock capability, is the idea there to maintain the throughput in the order of over 10 million or 11 million tons per annum once you transition from the softer material in to the harder material?
Ron Largent: Yes, in general, you come down in material throughput because you have more work to do. But basically crushing and screening on the front end and you add certain [tankish] could get you back to 8 million tons per year. So it is the same plan, but you have a little bit less throughput due to the work involved.
David Haughton: So the target would be more like 8 million tons win us a 100% Hard Rock.
Ron Largent: Yes.
David Haughton: Then going over to Geita, where about are you with regards to the underground. When would you anticipate the start-up of the underground and what kind of scale would you think about?
Ron Largent: Well, we’ve already commenced it. We hit 400 million of development last month, and we have some development ore actually go in to the plant this week. Our anticipated first [store] ore to the mill will be in early third quarter and this is a small ore body, pays for itself as we go along. It’s in the high wall, and there will be a decision later in this year about the magnitude of the underground that we go forward. But it’s not big project, it’s really developing and replacing surface ore through the 5.2 million ton of your plant. So it’s going well. So we’re actually in to it right now.
David Haughton: And what sort of grade would you be targeting?
Ron Largent: 5 to 7 grams.
David Haughton: I mean simply displacing about half that grade from the open pit through the mill.
Ron Largent: Yes, plus right now we have a bunch of 1.4 gram low grade stock piles that really what you’re replacing, because we feel a certain amount of that in throughout each year, depending on the strip and the access to the Nyankanga ore bodies. So it does replace average open pit grade and low grade stock piles that we have a plus around Geita mine site.
Operator: [Operator Instructions] The next question comes from the line of Tanya Jakusconek from Deutsche Bank. Please go ahead.
Tanya Jakusconek: I have a couple of questions, can I start off, if we could have just how much the corporate cost exploration and sustaining capital were in the quarter. I’m sorry I just can’t read the access to get the actual number.
Ron Largent: Tanya (inaudible) number, we’re just going to dig out the precise figure for you.
Srinivasan Venkatakrishnan: Tanya, the annual guidance on both was $790 million to $850 million for capital expenditure and (inaudible).
Tanya Jakusconek: Sorry, I know what the annual guidance is; I am just interested in what the actual Q1 were.
Srinivasan Venkatakrishnan: The actual Q1 numbers?
Tanya Jakusconek: Yes. And secondly, maybe you could share with us, you mentioned the currency benefits and the oil price benefits in Q1. Can you tell us what they were versus what you had budgeted for Q1?
Christine Ramon: Yeah, we actually don’t talk internal budget, what we can talk to is actually the savings compared to last year. So the penetrable currency fixes pretty on this chart, you can see its $35 down. Can you see that coming through? And included in the $43 step up to a fuel and power saving on the relationship with level of oil price that is actually coming through.
Tanya Jakusconek: Well I see a 43.
Christine Ramon: Included in to that is the lower fuel and power cost that has come through it. These are components of that, because there were other specialties that came through that related to lower labor cost and lower consumable related cost that actually came through as well in the efficiency number. The favorable currency fix is $55 per ounce.
Tanya Jakusconek: May be you can just remind me what your budget numbers are for 2016 for your Rand and your fuel cost?
Christine Ramon: So what we see at the beginning of the year results announcement is that, we budgeted at [$1100] gold and we spoke to pretty much the $15 rent at the time as well as about 4 Brazilian real to the dollar, and so that’s pretty much what we’ve budgeted at. Does that help you? I think you did the market update.
Tanya Jakusconek: No, fair enough. And the fuel price over what do you have in your budget, has that changed?
Christine Ramon: Yes, it would have $35 at that time, and either we ask for holding our annual guidance, so you even though fuel world has actually moved from the $35 per barrel, we actually have near 50 annual guidance and we’re quite comfortable to stay within the range that we’ve actually put out.
Tanya Jakusconek: Do you have those numbers on corporate exploration and sustaining or --?
Christine Ramon: So corporate and exploration cost together amounted to $37 million for the quarter.
Tanya Jakusconek: And your sustaining CapEx in Q1?
Christine Ramon: So the sustaining is actually 104 million.
Tanya Jakusconek: And maybe Venkat, can you give us an update on the Draft Mining Charter and having been able to look at it. What’s happening and the impact to Anglo?
Srinivasan Venkatakrishnan: Yeah on the Mining Charter as we said previously, the Minister of Mines published a draft review mining charter. It wasn’t in consultation with the industry, it was published and all of the mining companies put out their respective commentary which takes it that the mining charter went up without consultation. With the Industry and the Chamber put out a similar release as well, the Minister of Mines when he visited our mine site, at that stage when he spoke to the press did confirm that the mining charter was only a draft proposal where he expects consultations to take place. And he said although the time he has provided is 30 days, he is more than happy to extend the 30 days as required until we can get a landing in terms of the mining charter. So discussions have already commenced, bilateral discussions and discussions through the Chamber have commenced with the Department of Mineral Resources, and those discussions are in progress. What both sides have agreed to is that there would be absolute radio silence until those negotiations are concluded and consensus or landing has been reached, before we can actually say what is the end product we have and then the respective sites can comment on that.
Tanya Jakusconek: And then what’s the timeframe for that, so that we can look forward to hearing more?
Srinivasan Venkatakrishnan: It could be anything from the 30 day period, based on how long the minister is prepared to extend, and bear in mind, the industry is just one constituent where the consultation has to take place. There are other constituents as well. And I can just remind you that the amendment of the act is still outstanding although it was promulgated about a year ago. So it can take time although the minister has said that he wants to move forward quickly, so as to eliminate any regulatory uncertainty.
Tanya Jakusconek: And is that 30 day from April 15?
Srinivasan Venkatakrishnan: That’s correct. From the date of publication of the draft charter.
Tanya Jakusconek: Yes, so maybe by May 15 or thereafter we may hear something new.
Srinivasan Venkatakrishnan: It’s likely to be much later than that, not on May 15.
Stewart Bailey: Thank you very much. And thank you all for joining us on the call. We will have our normal slightly longer format after the half year and that will be in August. Thank you very much.
Operator: Thank you. On behalf of AngloGold Ashanti that concludes this afternoon’s conference. Thank you for joining us. You may now disconnect your line.